Xavier Huillard: Good morning, ladies and gentlemen. Thank you for attending this meeting. Thank you for dealing with the difficult weather, the snow and the ice out there. We're very pleased to meet with you, pleased to have a meeting with you. A couple of pictures to begin with. The first picture, I promise we'll change it for you the next time around. It's here to depict our foothold in the airport sector in Brazil. This isn't the - this is the Salvador Airport. The second picture, highly symbolic, global first, we achieved in a partnership with the PSA group. This is crossing - a totally automated crossing of autonomous vehicle at a tollgate. Requires a very intelligent vehicle and also very much interactive intelligence with the infrastructure to ensure that the vehicle can make its way through this tollgate and then can actually get at the right lane and having paid the toll. Now in the next picture, where you go to your upcoming - Saskatchewan, flat but really nice, not a lot of inhabitants but really wonderful people. This is to depict the first section, first phase of the Regina Bypass project in Saskatchewan, a big PPP that we talked to you a while back. Next, something you're very familiar with, the opening of South Europe Atlantic, our high-speed Tours in Bordeaux, a very well. We'll come back to that. A little picture now. Next picture please. Yes, here it is. This will go by itself which is showing you the acquisition for VINCI Energies in Northern Europe, especially in Scandinavia in the business lines that are the distribution and transport of electricity. Then a picture we have here, which is the late breakers for Eurovia in PPP businesses. Overall, road maintenance in counties in the U.K. this is doing - business is doing very well. Now something, the Grand Paris Express project. Just showing how difficult - all of these difficulties we're going to contend with when we're talking about putting together infrastructure within an existing urban setting. Here we're talking about building a station, a train station in a tiny amount of space available, so that's gives you an idea just how complicated things are from a technical point of view, and we're working with the various phases of Grand Paris Express project. The last picture I'm very pleased to show you our future head office. We should move in there in two years' time. It's in Nanterre. It's near an area that we built previously. It's midway between a railway station, also the future extension of the commuter line and where we're being innovative here in terms of the way the building will operate and also its energy performance. So there you have it. That's just a couple of examples. 2017 now, highlights. It was a good year. Like I said it was a very good year. Why? Because first of all, revenues and order intake are growing. You may remember after several years that were much more difficult, especially in some Contracting business lines. Good buoyant autoroute traffic for heavy vehicles for the motorways which have reached pre-crisis levels. It took 11 years to come back to the precrisis traffic levels. And we can say that airport's traffic is very buoyant even with the last year. Contracting activities, VINCI energy is stabilizing at a very high level. Operating income regarding Eurovia construction, a n improvement in their operating performance. We don't intend to leave it at that though. And all of this has led to operating income and net income that are up substantially double digit, and that remains stable in spite of major investments and also one-off the tax bill that we had to pay toward the end of last year. Furthermore, I said that the year we want to be active when it comes to external growth especially VINCI Energies, which acquired and are integrating 34 companies, different sizes, overall additional income and a full year of €1.6 billion approximately, which should add to this €10.8 billion in 2017 in VINCI Energies. Now let's just briefly go through the various business lines. First, VINCI Airports. VINCI Airports, as I said, momentum continues to be confirmed above and beyond what we had already expected, we were hoping for. At the bottom of the slide, the left and slide, you can see Portugal 16.5% growth, France, 9.4% growth, Cambodia, 25% growth, Chile 11.6%, Japan 8.5%. In terms of the Japanese economy, this is quite extraordinary growth, all in all double-digit growth rate, 12.4%. VINCI Airports income, we're not counting the various assets that we hold. It's just - I'm taking 100% around €3 billion and now consolidated revenue €1.4 billion which is up very substantially because of increased traffic but also because of integration of various facilities that we acquired in recent years. More significantly than that is improvement in EBITDA, gaining four basis points, reaching 57.3%. So we can certainly say that we're very much on track. We're fourth ranking operator worldwide. Pro forma, we look at things as of the current date, 155 million passengers managed approximately. Two to three items I'd like to observe in addition to this. Firstly, 36 months ago, I'll talk about the acquisition of 51% stake at the LSP company, which is in duty-free but is now at several of our Portuguese airport facilities. Also, in Portugal, we're continuing our talks. These are going well with the Portuguese government, a concession holder granted to put together a new facility above and beyond the existing Lisbon facility alongside the area. In addition to that, we've mentioned that we won Kobe. That's our third facility in Japan, Salvador, after competition by the Brazilian authorities. And more recently, we were named preferred bidder in Serbia for the Belgrade airport. I used the opportunity to say to you to close the subject. I will field no question. It's no question on this point. We are in talks with the government regarding future after the decision to not make the Notre Dame airport. If you can well imagine since the talks are ongoing, don't even think that we will make any comment whatsoever on this point. VINCI Autoroutes 2017 has gone well. I said this particularly regarding heavy vehicle traffic, which have continued doing very well in upcoming years because heavy vehicles are very much tied in with economic activity and industrial activity and GDP. So in all likelihood, we should benefit from the further improvement of the economy in Europe and in France. Autoroutes, I've mentioned opening way ahead of schedule. The South bypass at Montpellier with [indiscernible] invested and all related it's the biggest and - in the country. That's a good illustration I think of the fact we put up - when it comes to organizing territories and public work in this country. Another point where we recently put an end of last year into this year, we agreed with the government the last parts of the motorway investment plan. This motorway investment plan is requested by the previous President, François Hollande, in the summer 2016. The plan, not long term financed, partially financed by the municipalities and partially financed through some slight increases in rates between 2019 and 2022. And this has been - we took over this with the Ministry of Transport, and we agreed on a lot of reinvestment plans, €400 million to our parts. That was originally earmarked more or less, slightly reduced. Now probably the state council upcoming - go ahead and then possibly move on to actually completing this. I would like to mention very briefly the fact that there are - there's a great deal of research and development that's going on at VINCI Autoroutes. Just two takeaway points here as I mentioned. If you look at the accident, fatalities in French motorways, to a large degree to people who are not sleeping enough and who're dozing off the wheel and we've done various surveys to help detect markers, ways of measuring people's lack of sleep and we can get an impression that it's a very interesting thing to look at. We can, for instance, look at saliva markers and simply in the future, in the near future, you can do saliva tests to help see people loss of sleep to try and make sure people are not lacking sleep and driving and dozing off at the wheel and causing accident, one point. Second point, we're doing a great deal at VINCI Autoroutes in big data. We gather impressive amounts of data through sensors we have throughout our networks. We're talking about videos and video sensors and so forth. So we have data analyst teams that are using artificial intelligence tools, genuine artificial intelligence. We're not talking about AI but we're talking about genuine AI here, the real thing. They're helping develop these tools so we can even better improve flow and safety and quality of service for our customers throughout our motorways networks. VINCI Highways. This is one division in VINCI Autoroutes where we've rolled out over outside of France. VINCI Highways is developing the pace works completed on section two of our urban tollroad in Lima Peru. We're using remote paying system to make things flow smoothly. The traffic in Lima is a real problem, terrible traffic problem. This section isn't open yet. It should be open in a few weeks. It will be a real plus point. It's a good thing because you can end up spending hours in traffic jams in Lima, and particularly, this infrastructure will help improve traffic flows around the airport. Another important item in 2017, we won a 4th A-Modell in Germany. It's an availability scheme. Four of the 11 that the federal government in Germany have launched this at the beginning of the process. These things say we're the #1 potential holder for motorways in Germany. And the motorways work in Greece, we've often talked about these. This is a true feat. We saved these motorways in spite of the really harsh crisis, tough crisis that Greece has had to contend with for the past many years. Two motorways survived the crisis, two big contracts. We got back on track, so we're very pleased to open this to traffic with a few months to go now and they're totally fully operational. Next maybe not as well-known but we're really making a breakthrough in terms of motorway operators in Russia, and operator, I don't mean necessarily concessionaire but in charge of collecting tolls and maintaining operational motorways which means dealing with accidents or doing daily maintenance of infrastructure and so forth. There's a company called UTS. We hold a 30% stake in partnership with a Russian partner. UTS is in charge of around 1,000 kilometers worth of tollway motorway in Russia, which helps us raise safety standards there, quality of service, furthermore, helps us to gain considering interoperability between the various motorway sections and toll systems in the country. On that point, it's probable, I'm not absolutely certain, yet but it's probable we'll end up becoming the sole operator of the total corridor between Moscow and St. Petersburg. It has very different sections from a contract for point of view. First section, Moscow, the ring road in Moscow toward the airport there. The whole section is with traffic risk. We're fortunate to have traffic growth of around 20% in 2017, so it's great. On the other and, around St. Petersburg, we're completing work on Section 7 and 8, the availability scheme. And in between those other sections have been given to other operators but - who ends up operating the entire corridor. Lastly this is one where we delivered the first section of the Regina Bypass Saskatchewan. And then in the near future, we will work on - to pay our tollroad we won about a year ago in Colombia. This is the Bogotá. All these are illustrations of the fact that our business model exports beautifully. We adapt, of course the local situations in contracts in Colombia and in Peru. We've got traffic routes for. This countries need to catch up for the economy and. It's important for them to be working on their motorways. They can't do this on their own. So we set up a toll road to help them reimburse. That's for emerging countries, we're comfortable. Germany and Canada, it's more availability schemes. Russia, I mentioned briefly that it's about operations. They're not necessarily concession for infrastructure. Then in the U.S. we got the company toll plus that go above and beyond what we're doing at Cofiroute in the U.S.A. Here it's about toll management, electronic management tolls, dynamic tolling and managed lanes in the U.S. We're really doing a good deal here in Texas on that point. Another highlight concessions in 2016, the Tours-Bordeaux high-speed line, one month ahead of schedule. Great news is that this is fitting in beautifully now. Traffic grew - jumped by 70%. It's an important to make. This is proof, clear proof that mobility infrastructure, especially high-speed rail links, are tremendous boosters for economic growth. The plus point of this type of investment isn't just about operating income for the operator of the trains. We're talking about actually generating wealth which goes well beyond just the SNCF railways books. So that is what we do in '17 in Concessions, same targets always to increase the long term of our activities for the reasons we've given over and over again and also to boost internationalization further, projects in the U.S., in Canada, in Columbia, Peru, Cambodia. Every time we see opportunities for us in contracting to strengthen or gain a new foothold in new geographies, come back to contracting 2017, as expected, even better than expected, a year of recovery and turnaround. VINCI Energies first. VINCI Energies, you're getting an idea what this is. VINCI Energies, the good news here is that once again, we're seeing organic growth, the VINCI Energies 2.8% like-for-like. As you can see, great breakthroughs in information communications technology but also great breakthroughs in production transport and distribution of electricity, especially in Africa. This is fairly recent. That's why I'm spending a minute on this. In Africa, VINCI generally we're working basic infrastructure, transportation roads and launcher providing large populations. Part of Africa now has strong need for electrification. That's a prerequisite to establish industry that meets our supply, good quality supply. They believe cleverly we did decide to develop moving to this area of production, transportation, distribution and electricity in Africa. Combining two of our activities, firstly Morocco, which - with many activities plus French expertise, so together, these two - this really tackle this business in Africa, a lot of success in 18 months. We've dealt about €0.5 billion in new contracts from Morocco of course outside of our - out in Africa, French-speaking, here to produce photovoltaic energy or transportation distribution of electricity and we're not going to leave it at that. We'll go further. Another point I would mention in VINCI Energies 2017, it's a year that was full of acquisitions, strong growth, 34 acquisitions, representing around €1.6 billion in additional revenue in full year, some in Germany, lots of Scandinavia and then the first significant foothold in the U.S. not entirely closed yet. It should close in the first half. A company called Prime Line, which is in utility services, electricity distribution, gas distribution and a special feature there is they're big enough, €500 million approximately big enough, so that this can be a foundation for us subsequently. Once we've really tamed them, so to speak, and integrated them, we'll be able to roll out our other types of expertise in North America where there's a great deal of potential. It looks very promising there. VINCI Energies, as you can see now around 50-50 break between France and International. Years ago, when we created VINCI Energies, it was a very different situation. VINCI Energies is a consolidation of thousands of companies that have been acquired over 35 years, not 35, maybe even 40 years. It's a company started this way and continued focusing on external acquisitions big enough now so it could be a consolidator in this business area, a global consolidator serving many geographies throughout the world. Potential for growth, I'd like to confirm this is substantial. It's not going to be stopping. I can say that we're highly disciplined in operations. As you can see here, once again, 5.7% debt, which is the said last year which was also slightly up from EBIT in previous years. Eurovia also has done well and even better than expected. We knew that 2017 would be a year of recovery, where there's again growth but it was better than expected. 7% organic growth, almost the same for both France and international. So it keeps going well both in France and internationally. Eurovia, once again, above €8 billion in revenue also at the same time improved its strength and operational performance by 50 basis points. So we expect further improvements in operational income for future years. Also external growth for Eurovia, not gigantic companies but the acquisitions, these are bolt-on acquisitions in terms of geography. One of them in Latvia, two in Germany and then others in the pipeline being finalized and are produced by anti-trust authorities, one of them in France and one in Québec and other probable acquisitions in the medium term. And then another point we're making on the slide here, Eurovia is innovating. You can see the power road, the idea of it heating road beds. These are small tubes here that capture thermal energy generated by the sun. The road is black, and if it's a black, that means it's capturing the heat from the sun through photons. And the energy, the thermal energy, we capture it using a sort of snake on the road that either it's stored and either it's put back up on the road when it's how we like to do in Paris or to use as heating for the municipal pool, the premier buyers, some of the facility nearby in Serbia. Now with the construction, similar situation, similar Eurovia. We can say that France once again is seeing organic growth after some tough years indeed. Organic growth all in all 2.7% for France which means 2.1% in France and 2.2% outside of France. So Eurovia, we're seeing some stability finally after oil prices have gone down and commodities prices had gone down, so that's good news. You know that we've got strong positions in Africa. They've been hard hit previously in 3 to 4 years as I've mentioned. So the good news is that when it was coming and we can confirm this stabilizing effort and there's a resumption to some degree, and that's probably going to come to fruition in future years. Growth in our specialty areas especially and a little bit, to a little degree though, also for Entrepose activity. Now operating margin for VINCI Construction growing gradually, slowly but surely. Slowly, why because there's a lot of inertia due to the size of the deals here but also we have to realize that the construction should also suffered from some of, let's say, bad contracts that have been in the pipeline coming from previous years, some of the tough years. Construction is changing. BIM is becoming a reality in more and more projects. VINCI Construction is also developing through acquisitions. After the successful integration of HEB in New Zealand acquired 2, 3 years back, we felt it was now time to continue shopping, so to speak. So we bought similar companies €300 million of revenues and it's established in Australia in. Now what will also be driving growth in VINCI Construction in subsequent years is the construction boom in public works, in construction around Paris, this is of course due to the major Paris Express project but also due to our return of office deals, think of the Trinity Tower in La Defense, the Saint Gobain Tower that's being built in La Defense. There's the Duo Tower in the 13th arrondissement, also other areas. Campuses, here we can see a campus, AgroParisTech here in Saclay. Also there's a campus not on the screen here. It's to the north of Paris. This will be going well at VINCI Construction in Greater Paris especially. Now as expected order intake, heading in the right direction, up 8%. Looking good in all business lines for contracting. Also looking good outside of France. Particularly in Europe, outside of France growth rates, 11% uptick, a slight weakness internationally outside of Europe which is due to the fact that - some very big deals. And there are some years with big deals and some years we don't have a big deal. '16, we had some very large contract which had a real plus impact on order intake in 2016. And we didn't see it repeated in 2017. One point on our real estate development, significant now around €900 million worth of property income, strong growth here. To some degree, this is due to residential programs. Last year, we also had our clients reserve 6,630 housing units after - as part of the development program. That's up 21% compared to previous years. And then everything else follows along in operating performance. The picture here is the luxury example in Monaco, partnership with a Monaco company, and as often in Monaco, you've got some social housing projects, housing alongside included with luxury housing, office in those facilities and private facilities and so forth. They seem very well. Marketing of the units is doing very well indeed. Lastly, VINCI Immobilier, since they got the expertise, is also in charge of running the large construction project for our new headquarters, head office 7,000 square meters you saw the picture of it earlier. No surprises. Footprint of our activity is here. We can see it's a depiction of a situation that I've alluded to. One explanation here there's two arrows in each box here. The right-hand arrow is 2016 versus 2015, remember that. The left-hand arrow is 2017 versus 2016. Now you can see things are going well, much better than last year everywhere. You can see there's maybe one item regarding North America but it's entirely due to a currency effect in the depreciation and change in the value of the euro vis-a-vis the dollar. Everyone's there including Africa resumption plus 2% growth that I just mentioned for Africa a while ago. Now I'd like to hand over to Christian and I'll come back and speak after we hear from Christian. Thank you.
Christian Labeyrie: So thank you. So briefly, revenue, just over €40 billion. That's the revenue that we achieved in 2013. So it was an all-time high but this time, not quite the same way. Back then, there were fewer concessions, not a lot of airports and car parks but more concessions to date than back then and more VINCI Energies. And we achieved this, thanks to business recovery. Organic growth, up across the board. Concessions, almost 6% organic growth. Contracting, 3.6%. Real estate, over 15% growth. M&A brought in 2%. That's the impact of the acquisitions in 2016 full year AERODOM Dominican Republic, Lyon Airport, Lamsac, Peru. This year is the impact of the acquisition rather temporary. It's essentially contracted and - VINCI Energies. The currency impact is negative to close to just under 1%. That's the impact of the rise of the euro versus most of the currencies. Pound sterling and the U.S. dollar, when we convert activities in those countries, it's less - fewer euros, hence, the negative impact. Next slide is the France international comparison. All in all, we have identical growth in both segments but not in the same way. France organic growth, 4.6% whereas international 4.1% growth. And the scope effects, most sensitive internationally. Growth recovery in France, good news, we'd not dipped over three years but the group with this downturn was focused on contracting which all in all in those three years, less 15%. So we're catching a part of that but not fully yet. Scope changes, I mentioned those, essential international. So the Lyons airports and the acquisition of VINCI Constructions and earthworks of the mountains. So the operating income from ongoing activities, EBIT. Companies consolidated their equity treated below the P&L operating income. So in summary, what we can say is all business segments improved contribution in '17 and therefore contribute collectively to the fine performance achieved by the group. Total EBITDA exceeds $4.6 billion. 10% of gross is in €26 million concessions. The increase of the contribution is €300 million, up 10% contracting, up 9% and €20 million for real estate. Concessions, we have an increase in revenue and good containment of operating costs. Contracting, VINCI Energies maintained its EBIT at 5.7% of revenue in spite of an effect that what was dilutive when we include new acquisitions. VINCI Energies maintained its results. So in fact, it's improved in the rest of the group. At Eurovia, improvement by 50 bps of the margin, 3.7%. What's notable is that these fine results are uniform across the various geographies in the major countries where Eurovia is based. VINCI Construction, while the improvement is more modest, 10 basis points, we're expecting - we're on the right trend, even certain subsidiaries are struggling notably in the oil and gas segment on proposals in the U.K. but we're on a breakeven which is a pretty good performance given what's happening and at the low point and the business cycle seems to have reached. Other foreign subsidiaries of VINCI Construction posting good results in Oceania, as well as Soletanche Freyssinet and the. VINCI Construction France, which is the main entity in the business, about 1/3, it's continuing to recover. Started in 2016 with some difficult work sites that are nearing completion. VINCI real estate put in a good year as we mentioned. On the back of growth in the residential sector, we will - that's going to continue into '18 in commercial real estate because we have a number of deals in the pipe that should happen this year. The income statement. Basically, we can say that the various metrics following the same track records. EBIT, subsidiaries consolidated an equity, a strong rise in contribution, which offsets the payments on IFRS II share-based payment expenses. Consolidated equity, we sold a piece of land in London, VINCI Construction U.K. for some €40 million fine. Results achieved in Japan in. On nonrecurring items €40 million, same as last year. This is essentially a real good cost for our businesses in France in construction in the Paris area south. In spite of all those items, we nevertheless have income that's up by about 10% and €4.5 billion financial income is up by €120 million. That's basically the positive consequence of the refinancing made in '17. More about that later. Refinancing in large part led us to reimburse the debt that was maturing at the higher rates combined with the upside of our tax optimization. The tax bill increases significantly by €260 million but we had a one-off on deferred tax assets of €130 million. If we correct the data, the hike isn't so high, but there is nevertheless an increase that reflects our improved earnings. At this stage, the one-off tax effects, it's the increase on profits in France. That rate's been increased to almost 45%. So that's a negative impact that was offset in our accounts. But on the one hand, the reimbursement of the dividend tax that was ruled contrary to European rules of impact on the deferred tax because the government has announced a reduction of the corporate tax rate. So that's an additional €40 million and net income on the €10 million because part of the €40 million concerned companies where they have minority interest. So I hope you follow. For those of you who need a special - are available after the presentation. Even he understood, great. So net income, €2,737,000,000, it's €2,737,000,000. But once we remove the tax effect, it's €2,737,000,000. So it's 2.376. We have 15% growth. It's magical. What's even more magical, EPS follows precisely the same trend. Turning to change in cash flow, we have stability in net debt which is a good performance because it means we fully financed our expansion. Our share buybacks, our dividends, if we just look at dividends and share buybacks, we increased the amounts divided to these items by €250 million over the year. CapEx - the OpEx and the more exceptional CapEx, those were our concessions. Well, that high term to buy 360 million more. That obviously, impacts of free cash flow, and lastly taxes, which as I said earlier, had a positive on the P&L, has a negative impact on the cash because unfortunately, the government hasn't reimbursed in 2017 the dividend tax but it reimbursed it in January. So that's unfortunate, whereas we have to pay the 45% tax on profits in 2017. That's amounted to €200 million. If we put into the €200 million additional taxes and the €360 million of additional CapEx, that broadly explains the decline in free cash flow just over around €400 million versus last year. So there's an increase. Some of you already have spotted it in the working capital requirement that remains limited. Just on the €300 million, we can say that half of that corresponds to land acquisition for our real estate. That's good cholesterol, good belief. That means we can expand our real estate business going forward. We need the land to develop properties. We have divided the land. It has an impact on WC. On CapEx, WC, our grade is split across our units essentially linked to business growth, which in certain business is VINCI Energies, Eurovia leads to an increase in WCR. I hope that was - I hope I covered extensively that point. It's important at the end of the day, shows a very fine year on cash flow generation at VINCI contrary to what an analysis might - seem to indicate. Balance sheet. It's basically a reflection of what I just said, next slide, so more equity. We've invested in our concessions and contracting concessions investments made in our existing concessions are highways but the growth this year is really international of Peru because we completed, as Xavier said, the construction of Section 2 of the Lima road. That's €170 million, and it's basically the delta between the two years contracting essentially acquisitions of new company. Our WCR overall, €6 billion equities up. Provisions increase, that's always a good sign in our business. And debt will not remain flat. In terms of net debt, it's comprised differently more long-term debt, that's what we want. We want to consolidate over longer maturities. Even with the net with the cash is about €14 billion. Next slide. Bankers in the room are hopefully aware of this. A lot of deals in '17. We were very opportunistic on all our units at - have the A3, A- rating for VINCI. We issued the €3.7 billion for maturities on average 10-year, the cost of 1.66% which is at this stage is after hedging, otherwise, able to cost us 2%. 2% is not a lot. But if we can pay less than 2%, it's even better then that's what we did because all this costing us 1.66%. And recently, in this year, we issued a loan of €1 billion at 1.377%. So we issued more debt in '17 and the reimbursement would be about €4 billion concerning the additional credit line. So we raised €4 billion to reimburse €3 billion. So we overfinanced our reimbursed to leverage the very favorable borrowing conditions, and we did refinancing the project. Those are the Dominican Republic, AERODOM and Arcour which is the concession. 537 and 12 years, 420 at 30 years for the second. To wrap up, so what I admitted to say is that if we're able to achieve all that, it's one because we have a good rating. Secondly, we're prudent on the cash front. You always need to have cash aside. I've always said that. That remains the case closed, on €5 billion at the end of the year, slightly less than average because of the seasonal WCR effect. But an additional €6 billion unused bank facilities, a total of over €10 billion. So this strategy isn't new. We apply it year after year. We consolidate our long-term debt, so we have an average duration of close to six years whilst reducing the rate which is magical because not only we should increase the rate when we extend the maturity but it cost us less because we have our policy without being aggressive allows us to leverage the differential between long and short-term debt. And so the proportion of the debt was a variable. At 53% once related to net debt because cash surplus - any of the 1/3. So 1/3 of our net debt is at a variable rate which isn't a lot because 1/3 of €14 billion is what, between €4 billion and €5 billion which is, give or take, the EBITDA of our concessions which is hedged against rate hikes through inflation that the total is index. I hope I made myself clear. If not, I'm available. So if rates rise, you're going to ask me the question. Will we be very little exposed in terms of the impact on our earnings.
Xavier Huillard: Thank you, Christian. To wrap up our view of 2018, it's simple growth, firstly, growth in concessions. Traffic will continue growing. We continue to say it's unlikely the traffic, especially airport traffic, should see the same growth rates as in 2017, which will certainly be a fairly pretty much a record year. I don't think can achieve 4% to 5% growth in Cambodia constantly. Otherwise, that would lead to other difficulty. So that's growth in traffic, airport traffic also growth in our French motorways business, similar to what we had in 2017, probably maybe slightly lower. Among other things, depending on weather events, what is certain is growth in French motorways will continue to be driven by heavy vehicles which should continue to do very well, thanks to evolved economic situation. Then all in all, we got a concessions also growth due to the sharpening we've gone in recent years and particularly LAMSAC, which should have been very, very soon, section 2, Lima Peru. And then the airport facility, recently won. In the full year, they will make the full potential in Japan, Brazil and until the end of the year, Serbia with the Belgrade airport. Contracting growth there as well to realize there's just the order book. The order book is up quite substantially compared to where it stood 31 December 2016. It's true in our business lines to different degrees but it's also true overall in terms of geography. France, nonetheless, is doing especially well and we're quite used to see that. I think a beginning of a new growth cycle, but what's certain is that we'll have organic growth in our business. Contracting business lines in 2018 as well. In addition to this, we'll have the full year effects of the acquisitions made in 2017. This will make it possible for us to continue growing contracting margins especially at Eurovia and VINCI Construction. So all in all for the group, growth in revenue and further growth in EBIT net income. I would limit - the dividend the Board of Directors and if it was - and adhering to the principle of a - of 50% of net earnings it's discounting nonrecurring events that could do - proposed pay a dividend for 2017, €2.45 per share which is up 16.7% compared to the period this year. Considering the interim dividend already paid, this will mean if the AGM starts to sell, that we will have to pay a remaining amount of €1.76 that'll be paid 24 April, and actual payment date, 26 April. So nothing particularly original there. We're very much on our road map. We're patiently continuing moving forward very carefully and resolutely. The results look good. I don't know if that's what the stock market things, but the stock market mystery is unknown to me. So we will begin our Q&A session. We got basically all national managers here. Nicolas Notebaert, Pierre Coppey and others are here. People can ask all of the top managers while they're here. And we'll try people answer depending on the questions asked.
Operator: [Operator Instructions].
Jean-Christophe Lefèvre-Moulenq: Actually I've got two questions. Could we get further information on the investments budget 2018, recurring investment as well as concessions investment? Next point, VINCI Construction. Could you tell us more about the €344 million in earnings? Firstly, these earnings, operating income for those activities, those include exceptional complaints? I think there are at least two jobs that are a little - having a tough time in France. Secondly VINCI Construction in France again in the black or have results not changed? What about the Paris region? And regarding specialist construction, oil. So that's on Freyssinet, have they been able to improve their contribution?
Xavier Huillard: That's a lot of questions Jean-Christophe. I'll hand over afterwards to Jérôme Stubler. But let me begin by covering a few subjects. France is yes, not as highly positive as we'd like it to be, the main reason being yes, there's some tough jobs. Yes, complaints factoring this in, we will in the future - subject that are currently being discussed with the clients. That's all I can say and I can't say who. Now terra petroleum, oil area. Why it's difficult? They said that investments should resume toward the end of 2017. For the time being, we're not seeing that happen. So let's say end of 2018. I heard it again recently forecasting shortage in access to oil resources around 2020. So probably they're still investing a little bit, not at the time being. But I think contracting has done a good job of it because they were able to complete a giga project together with VINCI Construction with major projects for Serbian gas, NOVATEK. That was done so that's been delivered. In addition, Entrepose Contracting, we're fortunate to be able to have a good pipes deal causing Greece and Albania to tap project, thanks to which it's been impossible to improve things especially in terms of activity. We can say yes. It's really tough in the oil and gas world and nobody's surprised to hear that. Would you like to answer, Jérôme?
Jérôme Stubler: There aren't any claims in construction. I would say that average improvement in margins in the order book. Order book is growing for the year. Long-term order book, year plus one, year plus two, three. That's good. It gives us good overview and being able to look forward and be selective in terms of the deals. It's €344 million average year. There's some claims. This is the way that the business operates, but no significant points, no major negotiations on the new subjects that are underway right now. Now regarding investments, you got to answer in the booklet, Page 48, you can see concessions advancement in 2018 will increase by around €150 some-million, VINCI Autoroutes, of course, with the recovery stimulus and the investment plan. Airports, Salvador and Lisbon to some degree I'm not sure in. But highways, highways should be around zero since we finished the construction of Lima recently. For Soletanche Freyssinet, growth for three years, we had growth in the order book for three years. Of course, revenue is going up with order books. But growth is less significant this year in absolute terms unless we do have significant growth in all geographies for Soletanche Freyssinet. Yes, go ahead Joseph.
Josep Pujal: I'm from Kepler Cheuvreux. Two questions. The first question, energy. You've been very active, €1.6 billion, you said earlier in additional revenue through acquisitions. This would mean around how much additional EBIT? And what was the cost of the acquisitions? Second question has to do with VINCI Autoroutes, operational leverage, a bit lower than previously, EBITDA going up by 3.8%, revenue up 3.2%. Anything nonrecurring we should know about, unusual that we should know about or not?
Xavier Huillard: We'll let Christian Labeyrie - thanks for the second question, check on the tax item total net income, EBITDA. Well, your math, the slope starts going down and becoming horizontal here. It's 73% EBITDA 10 years ago. We really necessarily believe in it. And at some point, Josep, it will stop maybe in 2034. Who knows? Energy - answer, but you can be sure of one thing. All in all, minimum operating income for acquisition is 5.7%. You can do it on the back of the envelope price, €500 million, around €500 million. Let me add a point, though. Depends on the geography. Once you get active In the U.S., you've got to be willing to break the bank a little bit more than if you're going to be making acquisitions elsewhere. 2017, we don't include the U.S. because we haven't closed the deal. I don't get your point though on motorways. EBITDA for motorways up €140 million, VINCI Autoroutes. And the EBIT up 110. The amortization, opening this new section such as Montpellier. So what is exactly is your point?
Josep Pujal: I'm comparing revenue to EBITDA.
Xavier Huillard: EBITDA rate increases.
Josep Pujal: I'm not talking about EBIT. I'm talking about revenue and how it turns into increasing EBITDA. I got the impression it was to a lesser degree.
Xavier Huillard: EBITDA rate is the - what it's all about. That improves, that's an important thing. There are some expenses involved, which is taxes and so forth. So it's not exactly. Microphone please for the speaker.
Unidentified Analyst: So VINCI Energies, what's sure is the prices tended to rise across geographies to their geographies where it's more than elsewhere notably in the U.S.
Xavier Huillard: We abandoned the - of acquisitions in the U.S. because we had a sense that prices were going up at the top. And generally, we're trying to buy companies. I mean it's not systematica but it's often the case. We acquire companies whose average EBIT rates is already installed at a good level. We try and buy companies in good health that are delivering good EBIT performance. So the additional euros in revenue generated 84% EBITDA. Anyway, we'll take a look at that point for you. Next question please.
Unidentified Analyst: Just to pick up on Josep's point. Could we have the contribution to EBITDA as the major French concessions, ASF, Cofiroute and ARCOUR also?
Xavier Huillard: We've never given those. What I would say - we have those [indiscernible] we given them to the government anyway. And I won't - what do you want those for?
Unidentified Analyst: Just to blacken some paper.
Xavier Huillard: What I mean, here's its Xavier. It's really difficult to compare the EBITDA rates of concessions one versus the other. They have different histories and regulation contracts and investment plans that were installed differently. So what's important for a given concession to see how it's progressing but it's always very tricky to make comparisons between different concessions, but it was to look - to compare versus 2016. Well, if the average EBITDA rate is up, we can expect that we can assume that it's because everyone else has grown. The purpose of my question is your big split, EBITDA growth between Cofiroute ASF. There are different revenue growth rates depending on the concessions you have done on the release, release the traffic. Second question on contracting margins, I noted your comment about increased provisions and I have difficulty in reconciling the EBITDA growth of contracting and EBIT growth. If I look at the EBITDA of Energies, it's up €20 million. EBIT is up 35 in roads, EBITDA is up 39 EBIT of 58. Construction, EBIT 15 and EBITDA of eight. So what is between the two that accounts for that?
Unidentified Company Representative: Answered a lot simply. In EBIT, there's some positive one-offs that were neutralized. So it's not to increase EBITDA rates above the reasonable and therefore impact EBITDA to the negative. When we have a one-off, say, a property, a real estate asset sold in one of our affiliates that generate, say, capital gains in the EBIT, we neutralize it with a positive provision that impacts EBITDA. EBIT remains unchanged whereas EBITDA is affected. So it goes in the right direction. That is we boost our comfort provisions. That's the case of VINCI Energies and Eurovia.
Unidentified Analyst: What about cash flow?
Christian Labeyrie: It's EBITDA restated for a number of items including one-off provisions.
Unidentified Analyst: Third question on M&A growth at €1.6 billion acquisitions full year Energies. How much consolidated in '17 was a residual impact in '18?
Christian Labeyrie: On the €2.6 billion - the €1.6 billion full year, what's the incremental portion in 2018? Will get that for us.
Christian Labeyrie: €300 million out of €1.6 billion, says. Final point more generally on - we sense the state setting out the time line for the Greater Paris in terms of delivering on the commitments for the Olympic Games.
Unidentified Analyst: Do you fear really - post 2024? Do you see a dip in the Greater Paris projects? Or is it going to continue as planned?
Xavier Huillard: If we have worries, they're not located - let me just pick up. First important thing is Greater Paris areas, probably the most defining decision from the Paris region the past centuries since because transport infrastructure, urban transport in these big cities, great economic growth drivers. It was a visionary decision taken by Christian Blanc carried forward by Nicolas. It will go down the history as a defining decision. The good piece of news is that the government has clearly realized that the Greater Paris project will be achieved. That's what's important. Though we take some additional 2 or 3 years less for a particular line, doesn't matter. We can advance. It's of no consequence over and above the civil engineering works. There are knock-on effects, developing districts around the 68 stations. So we'll continue to live on the Greater Paris dynamics for many years with possibly fewer employees digging holes and a few more employees building construction projects. There will be ups and downs over the years but take a look at what happened after the work on the high-speed line. We haven't dipped. Was it really felt? Not really, there was a dip but that lasted two years, three years between the end of the. That works for the high-speed line and the work on the Greater Paris. So we're used to managing that type of fluctuation. It doesn't worry us in the least.
Unidentified Analyst: I have three questions on roads. 7% organic growth of revenue, could you perhaps tell us what the price effect is in the 7% growth and maybe give us an update on the competitive landscape for roadbuilding in France? Secondly, on real estate development - what's your sense on changes in the regulation, the zero interest rate plan? I mean are you optimistic about that development. Third question on highway traffic, you mentioned the negative impact of the rising price of fuel. Can you quantify it in the growth 7%, the negative impact of that price hike?
Xavier Huillard: Right. We'll talk to you about the roads. Real estate, I'll speak to that. Okay, real estate, I mean let's not fantasize here again. I mean trees don't grow right up to the sky. Obviously, it's the prospect of rising interest. It's the price levels in major cities and a certain petering out of some of the production falls, and some I don't expect to see 20% growth rates in the number of property deals as we had in 2017. So we're not far from the peak, whether there's zero interest rate loan or not, we're close to the peak, and it's a good thing it will be dangerous to have growth rates that remain as high as those that we've had. And as you know, in the property sector, there are knock-on effects. That is when the property industry does well, as the property developments factor that in, and that has an impact on the price of land, that is passed on to the price of real estate, we have the second development in the other direction that when property prices cooled, there's a lag effect such that the landowners sit on their piece of land convinced that they will be selling at the price of the previous paradigm which slows the effect. So far, there are multiplier effects in both directions. So it would be good if stabilized to the level in which it is today on roads, Pierre.
Pierre Coppey: And your third point, on oil, yes, on fuel. On roads, the 7% increase in the Eurovia business, I mean it varies across countries. We take France. We're pretty flat. Over half linked to a price effect of the asphalt. That had fallen because there's a lag effect of the price of asphalt tracking the price of oil. That's picking up. So we've we can say in France it's at least 3% of this price - that varies across geographies, but the - focused. On competitive pressures, well, we consider that, with three points and not seven points of additional business activity that generates additional - we'll take France both by an investment cycle of local authorities, our number one clients, because we're in the middle of the term of office of the local authorities of the governance cycle. So business is trending well also in Germany. Whatever the competition in the future government, everyone agrees that it's necessary to continue to invest with necessary budgetary resources. Central Europe with the European programs that guarantee significant investments into '21, '22 in the U.S. and Canada. So amongst players, some are always restructuring. That price has done - also rises fast. As we would like, the trend is far more favorable than what we saw in the past. On the impact to the price of fuel on traffic levels, difficult to say because we've seen an increase in the price of fuel to the order of 15% in 2017, but it didn't lead to an oil shock that could've had an impact or have a sharp knock-on effect on traffic levels. It was almost imperceptible since in addition, we're in a powerful trend of the lowering fuel consumption. So the impact on traffic has been minimal. I can't really quantify a mathematical impact the rise on the price of fuel on traffic levels. Just to follow up on the real estate, I mean the favorable was extended for four years, focused on major cities where there was pressure on prices. So it wasn't at all affected by any recent development. Next question.
Unidentified Analyst: I have three questions. Just to pick up on the earlier point about Eurovia. In Serbia, you were pretty emphatic about Eurovia's fine performance. You said that margins will continue to grow. So in a context where everything remains promising, can we bank on a margin increase in '18 similar to that of '17? That's the first question. Second for VINCI Energies. One of the competitors of VINCI Energies is stating that the strong competitive pressure on prices in the service sector in France. I'd like to hear your view on that pricing pressure coming from small players or for some big players who are trying to slash prices. Third question, picking up on the split of EBITDA of VINCI, your new territories, can we maybe have some more color to report for the EBITDA of airports and how much that represents? And also on the Lima Highway, what's the EBITDA on that?
Xavier Huillard: Well, what's nice with these questions is going to allow me to pick and to touch for my colleagues. So even Nicolas, I'll spoke about the year-on-year margin. So if I say something silly, I would assume responsibility for that. We're at the beginning of the asymptotic. So it's going to continue to grow but not necessarily as much as last year because we are beginning to round up to reach the asymptote - the asymptote and of course learning for the - as the power teaches us, 4.5%, 5% margin, one date which is what we're achieving in certain geographies. It will grow, yes, as many basis points as last year, maybe not - on competitive pressures either. I know what competitor you're referring to who is calling out of significant service sectors, notably for general contractors, well, service sectors obviously. Well, there's competition as my neighbor on the right will confirm, I think the things are happening on pricing levels both for them as well as for us. So when people exit from the contract, we can always ask whether it's price or performance. On ANA, we've seen the EBITDA margin in the airport sector. It's up 400 basis points. That's the result of two effects on the existing scope which is the traffic cost containment. The initiative is in very dynamic areas. There's very good cost control. And so with the strong impact on EBITDA, we're incorporating companies as Christian said where there's no standard EBITDA margin. We integrated AERODOM and it varies significantly it depends on the country but these integrations have yielded very positive effects, as we said, at the capital market. And each of these acquisitions, we're above a year on, we're above with what we imagine as a trend in traffic versus cost mix that we have EBITDA to date that are looking good. But there's no point disaggregating them because they're very variable, very good traffic levels, highly contained cost that don't follow traffic and in fact better in terms of cost than what we imagined. So that is the total 400 basis points. We published the accounts of ANA of Portugal. So you'll see the EBITDA when we publish the ANA accounts effects improving. We're 50% EBITDA give or take.
Operator: With no further questions in the room, we will hear questions from the telephone now. I think they're all in English if I'm not mistaken. One question in English, to questions in English, three in English. [Operator Instructions]. We have a question from Guy MacKenzie from Credit Suisse.
Guy MacKenzie: A couple of questions for me. I just want to make sure I heard correctly. But Xavier, I think early in the presentation, you mentioned you are looking at managed lanes in Texas. And I believe you won a contract there. I was just wondering if you could give us a bit more detail on specifically what you're doing, what the project is, maybe the size and what your strategy will be on managed lanes going forward. Secondly, on the new airports, I mean it might be a little bit early to say, but Belgrade, Santiago and Kobe, was wondering if you could tell us anything on their combined contribution for 2018. I realize Santiago and Kobe will be at the associate level, but any indication you're able to give us would be very helpful. And finally a really specific question on your P&L. Just on the finance costs. I noted that your other financial charges, one from a negative €35 million or so in 2016 to a positive €40 million this year. I was just wondering if you could give any clarity on specifically what that was and what we should expect going forward.
Xavier Huillard: We'll be answering in French. VINCI Highways. Now we've got specific business, electronic toll collection. We started this several dozens of years ago in California, in Orange county, California. So at that experience, Cofiroute U.S.A. in California, we then further developed - we took part in various activities. And we just won a contract in Texas. Texas, like California is - state. This type of contract of course is covering state. This is the first in this area of electronic toll collection. It's not a concession. It's the ability of collecting the toll on behalf of the state, for the state. This is around Austin. Is the contract for operation? There's no capital investment but we do have fees for collecting the tolls. I remember we invested in a company toll plus in the United States and in India which provides us a back office capacity so we can do this type of deal. So it's a new contract in Texas after California in this area of VINCI. Airports, traffic, contributions around 10 additional percent, 10% additional. Salvador runs 7.6 million passengers; Belgrade 5 million, 5.3 million; Kobe, around 3 million. So of course, as I said earlier, EBITDA margins vary from one country to another. We don't have - that calculation to add those concessions. We have 100% Salvador for full year effect. We're not consolidating airports. Kobe, Belgrade will come online at the end of the year to do financial closing there for this to be fully included in our financial statements. Yes, to repeat the question in the financial results, cost and expenses and other elements that have an impact there. There's really two things. First one, financial expenses for investment programs that are currently underway that are capitalized, in the construction phase. When they move into operations, we don't capitalize. We take the expense. These expenses, there's been an increase in capital in 2017 due to increased investments in concessions which is very much due to LAMSAC. The LAMSAC section 2, we're going to capitalize financial expenses for that work. That'll be under the P&L then as an expense. But with further investments such as in motorways, they will be capitalized as initial expense. Another element here is updating provisions. IFRS standards, that we have to update provisions. We have to do a time line, forecast time line for consumption of provisions. And then expense, the discount rate, each year that goes by, that reduces things depending on the discount rate. Now we're seeing a stabilization of rates to be increased with a positive impact, with discount using a higher rate. If you need further explanations, I'll be happy to give them to you. Sorry, that's the lower expense due to the discounting of provisions due to the fact that the rates aren't going down as quickly as they were in previous years. If they go up, it doesn't have positive effect. Next question.
Operator: The next question is from Stephanie D'Ath from RBC.
Stephanie D'Ath: My first question please is on the margin and contracting. So your outlook is for an expansion which will of course benefit from a mixed impact given Energies is taking share and M&A activity in that field. You mentioned that I think Energies margin would be stable despite M&A, that Eurovia would increase but not as much as in fiscal '17 for the EBIT margin expansion. I was hoping if - to get a bit more color on the construction EBIT margin and where you see that going short term. And my second question please is could you give us a bit of insight of how would you expect light vehicles to fare next year as we saw a slight - in growth rates this year, so in '17? And then finally, for M&A, I had in mind that you, on average, spend €500 million - you acquired around €500 million of. Energies, it's much more significant. Now what is your strategy in terms of acquisition, contracting versus concessions? And how do you expect this to evolve going forward?
Xavier Huillard: Margins in construction - historically margins in construction have demonstrated, we can target 4.5% to 5% margin. We're already achieving this in some countries. We're achieving it in some business lines. So our target is to do this overall - for all of VINCI Construction. It's taking a little bit more time than we might have originally thought a year or two back for the reasons I've already given, but we'll get there. Particularly the big chunk which is VINCI Construction France. So yes, gradually, we'll take the time it takes, we'll do it right, coolly and calmly to reach that level of margin once again. Light vehicles, we're not going to delve into detail. What we did say is overall traffic in 2018 might be similar order of magnitude as 2017, possibly the low end of the spectrum, mainly driven by heavy vehicles which should continue benefiting from the economic improvement. Therefore, you can - that light vehicles best would be equal to what they were last year. M&A, yes, pretty straightforward. Everybody is supposed to grow in this group but we're placing special emphasis, first on concessions, and secondly on what we consider to be contracting businesses that are most likely to be from a margin point of view. We're thinking VINCI Energies contracting and some specialty business lines under Eurovia and VINCI Construction and a special focus on VINCI Energies as we've demonstrated in 2017. I'd remind you regarding VINCI Energies. We feel there's no limit potential for consolidation. That business area worldwide is gigantic.
Operator: The next question is from the Guillermo Fernández-Gao from Deutsche Bank.
Guillermo Fernández-Gao: I have a couple of them. First one would be around order intake. Though in the full year, it's still positive. So it's true that in fourth the quarter, we have seen a decent deceleration. It's actually 6% below year-on-year and materially below the €9-billion or close to €9 billion average for the first three quarters of the year. Wonder whether you could give us some color whether you think it is just a matter of order intake, lumpy and we should see another step-up in Q1. And second would be on the working capital deterioration. It's close to €300 million this year. Again, if you could give a little bit of color on where did it come from. If I remember correctly, in the presentation, you mentioned that half of it would come from real estate. And also, would we expect it to swing back in 2018?
Xavier Huillard: The order book let's not try to go too far with this. If you're fortunate and you win a big deal in your order book in a given month, that can have a big impact. So I'd rather smooth this out over a several year period as opposed to trying to really break this out quarter by quarter. It's not meaningful to try to draw lessons on that. So please do look at this overall. Look at the order book indication as an indication. Don't try to delve into too much detail on it because it really it's not that meaningful. Now on to the second point. Christian, I don't know - we never forecast WCR, a few hundred million if you just look at contracting compared to €30 billion in revenues. So sometimes you just shift a few days of cash in or cash out toward the end of the year, depending if the end of the year is a weekend or not. So we do not forecast WCR. Remember it's contained. If you cancel out real estate effect, we're just talking about that amount. So in our budget, we tend to put zero variation and let it being what it is. People in operations find this too hard field work to bring in money as best they can. And we certainly trust them to do so, and to better yield the best results, we don't give any indication one year ahead on WCR. It wouldn't be meaningful. Two further people waiting to ask questions in French.
Elodie Rall: JPMorgan is up next. So three quick follow-ups. On the VINCI Construction margins, I know the question was asked but you didn't really give full clarification. You gave a bit more color on Eurovia. What type of margin increase might we expect in 2018? You said that you reached the low point for activities in Africa. What can we expect from these activities? What was the portion of African VINCI Construction revenue and EBIT compared to two years ago at normalized level? That's my first point. Second, on the new investment, highway investment plan, what's the difference at the end of the day versus the previous plan that wasn't approved by the regulator? In fact, the question was - ADP the airports what can you tell us Paris airports as the state has interest the study to the banks. What's your take and vision?
Xavier Huillard: Thank you. Hi, Elodie. Answers will no doubt leave a sense of frustration. Last year, I mean ADP, no change on the state government in France so no news versus what I said six months ago even a year ago. It's clear that where the conditions met, we might be interested. Since we don't know what the conditions are, it's far too early to know whether we might be interested. So let the state think about it slowly what it wants to do and when it wants to do it and how it wants to proceed and then we'll be in a position to say whether or not we're interested and if so to what extent. On the investment plan and the highway investment plan, well, it's not really significant. I mean a few projects less. I mean we have about 430 in the first plan and we're now at €408 million. So there's not much of a difference. On contracting margins, I can't really say much more for two reasons. It's the addition of several things. I mean if you give me your forecast on the recovery of the overall market, that has an impact for Entrepose contracting but also the impact on budgetary health of a number of African countries. And I'll be able to answer your question, but since there are major question marks regarding the one which commodity prices, notably oil, will trend in the coming months, it's very difficult to give you an answer. So the underlying trend is VINCI Construction will grow its margins. Yes, I hope slightly more significantly than in '17 versus '16 but what's important is to take one's time to gradually to return to the level we had - back between 4.5% and 5%, but I won't run the risk of giving a more specific line. Next question.
Nicolas Mora: Next question from Exane Paribas. Three quick ones, the first on Cofiroute. Could you explain a bit the slight tip for light vehicles, like Cofiroute a weak spot, acquisition of prime line, that's not consolidated. but when we look at the research papers by credit companies, I mean margins, theoretically very high. Can we therefore expect a significant rebound in margins in Energies once prime line is consolidated in '18? Final, point can you confirm obviously the amounts that the reimbursement of the dividend tax that you mentioned in January just to do the math.
Unidentified Company Representative: So light vehicles for Cofiroute ASF anything on the traffic growth for airport. No. There's really no explanation to that. In Western France, we expect explanations linked to Brexit, I mean I had difficulty being convinced of that. I mean what I'm seeing is that roads in Western France, specifically for light vehicles, were far less buoyant than the East and Southeast of the country. So I think it's probably related to business activity and very promising ties between Italy and Spain. On time line, Yves?
Yves Meignié: Well, rebound, I mean there would have to be - VINCI margins haven't dropped since 2002, so they can't rebound or bounce back. Secondly, in terms of M&A, we're buying sometimes companies with margins lower than ours, sometimes slightly higher. the average is generally slightly lower. The U.S. it's a new country for us. We've been aiming for companies of good quality with good margins because we don't necessarily feel competent to acquire low-margin company and turn it around in the U.S. that we sometimes do in Europe. So when we buy companies with lower margins, as you can see, it doesn't change VINCI Energies margin. It's across the board, not just prime line. What's important is we develop - deliver not impacted by M&A. prime line, €500 million in revenue versus a business that's, what, going to generate 10.8 plus 1.6. That's €12.5 billion in revenue this year. It's a drop in the ocean. On the tax EBITDA price, the theoretical level of VINCI Energies. No. it's true there in the U.S, they have fronted margins that generate good margins in the business, so that's not as - they have big deal investments. So the difference between EBIT and EBITDA is far greater in Europe. For taxes, the reimbursement that we booked in our accounts is of the order of €160 million. What was paid to us at the end of December minus - is less than 50. So the rest was cashed in, was booked in January.
Yves Meignié: Okay thank you all very much for listening so patiently and the interest you've shown the group, and time for refreshments.